Operator: Good day and thank you for standing by and welcome to the VOXX Fiscal 2022 First Quarter Results Conference.  Please be advised that today’s conference is being recorded. I would now like to hand the conference to your host, Glenn Wiener, Investor Relations. Please go ahead.
Glenn Wiener: Thank you, Carmen. Good morning and welcome to VOXX International’s fiscal 2022 first quarter conference call. It’s been about approximately 2 months since we last reported our fiscal ‘21 results and I am pleased to say momentum has continued. Today, we will have prepared remarks from Pat Lavelle, President and Chief Executive Officer and Michael Stoehr, Senior Vice President and Chief Financial Officer. After which, we will open up the call for questions.
Patrick Lavelle: Thank you, Glenn and good morning everyone. As expected, we reported strong growth across each of our business segments. Our first quarter is typically our most challenging. However, in fiscal ‘22, our Q1 sales were up over 90%; net income attributable to VOXX was $2.7 million, an $11 million improvement; and adjusted EBITDA of $8.3 million increased by $11.5 million when comparing the fiscal 2022 and fiscal 2021 first quarters. All things considered, especially with some of the supply chain issues the industry is facing and the higher costs we have had to absorb, I am quite pleased with the performance. I will also note that while we reported a small operating loss, our operations were profitable when excluding the higher legal and professional cost associated with all of the transactions that we have underway with Onkyo, Pioneer, GalvanEyes and these are all one-time expenses. Our Q1 results last year were negatively affected by the start of COVID as many of our larger retailers and OEM customers shut down. And as reported, we cut overhead drastically to see what the impact of the pandemic would be on our business. We furloughed employees, stopped certain investments, cut travel and many third-party expenses until we were able to see the full impact of COVID. As sales improved throughout the year, we essentially restored most of these cuts by the end of our fiscal 2021 third quarter. So, as we entered the first quarter of 2022, business was operating at more normal levels and we were able to increase sales dramatically to cover the higher overhead while creating new revenue streams for the future.
Michael Stoehr: Thanks, Pat. Good morning, everyone. Pat discussed our first quarter financial highlights, and I will provide a little more color around key P&L drivers, the Onkyo transaction and close with a view of our balance sheet. All of my P&L comments are for the comparable fiscal 2022 and fiscal 2021 periods, unless noted otherwise. Total sales were up $65.1 million. Although – excuse me, automotive segment sales were up $25.4 million with OEM product sales up $7.3 million, driven by higher RSE volumes and growth in heavy-duty truck or HDT market, where we service via VSM a recent acquisition. Aftermarket product sales were up $18.1 million, with roughly $12 million of this attributed to the DEI acquisition, which was in our final – which was not in our final ‘21 first quarter. In the aftermarket, we experienced year-over-year gains in the video and rear-seat entertainment, remote start and security telematics and satellite radio categories, among others. CE segment sales were up $39.6 million, with premium audio product sales up $37.1 million and other CE product sales up $2.5 million. Within Premium Audio, the biggest growth was in home separate category, followed by sales of speaker systems and computer systems, mobility products and to custom installers. Premium Audio sales were up both domestically and in Germany, and we added approximately $6.4 million of new business through 11 TC, which began operations in the second half of fiscal 2021. We had sales increases in several CE accessory categories again as retailers were mostly shut down in FY ‘21 first quarter but also due to increased distribution and product placement. Bluetooth wireless speakers, Karaoke product, home audio, remote controls, digital clocks, smart home and nursery product sales were up in all of these categories and we saw a modest increase in our German operation as online sales were strong and we’re starting to see retail stores reopening. And Biometrics segment sales were up a little over $100,000. While consolidated gross margins were down 90 basis points, gross profit dollars were up $16.7 million. The Automotive segment had gross margin increase of 930 basis points and gross profit increased by $8.5 million. Higher OEM sales led to better absorption rates and efficiencies helped drive margins, as did the addition of the DEI business, which traditionally carry higher product margins and segment margins, and an increase in sales of higher-margin OEM and aftermarket safety, security and RES products. The Consumer segment had gross margin decline of 430 basis points, but gross profit was up $8.2 million. The driver of these margin declines were: one, strong sales of Premium Audio computer systems launched in the second quarter of last year and other Premium Audio products sold through the warehouse club channel. The margin structure is lower, but the contribution in dollar is greater given the volume. We also ran new promotions on some of these products in the following holidays. 11 TC sales positively impacted the segment’s overall business but are sold on fulfillment margins. And four, we incurred higher shipping costs and surcharges related to container shortages and port delays and higher costs for parts. The first three drivers are in the normal course of business and part of our strategy to increase profitability and fund growth-driven programs. The latter is something that we are controlling as best we can. There will be some residual impact in the second quarter, but as Pat indicated, the price increases we implemented will begin to offset this in the second quarter, with a bigger impact in the third quarter and beyond. Lastly, Biometrics segment margins were positive at 19.5% versus a negative gross margin of 22.7%, though the overall impact was minimal. Operating expenses were up $9 million, but as a percentage of net sales declined from 39% in quarter one of fiscal ‘21 to 27% in quarter of fiscal 2022. This is with a lot of additional costs we had. One, $3.7 million of DEI-related expenses, which were not included in Q1 of last year; two, a $2.6 million increase in professional fees, with the majority related to the transaction Pat discussed; three, $1.6 million of higher salary and related payroll taxes recorded as selling expenses and a $1.1 million increase in salary expenses recorded under G&A. Please note, last year’s Q1 included furloughs and salary and bonus cuts that we put in place in the early stages of the pandemic. This year’s first quarter did not have that. And number four, $1.2 million higher commissions given the higher sales. And finally, point five, $900,000 in higher advertising expenses with new product displays created and in support of higher online traffic and sales. Pat addressed the bottom line comparisons and our year-over-year improvements, but I would like to make one other comment. Professional fees were up $2.6 million, of this – and of this, we had approximately $1.7 million of expenses related to the Onkyo transaction, GalvanEyes distribution agreement and non-routine legal fees. Taking this into account, our operating income was positive for Q1 and as you can see the breakout in our adjusted EBITDA schedule in our release and Form 10-Q. We continue to lower costs in other areas and are mindful of all expenses, especially as the country, or rather the world, continues to open up. Our income of $2.6 million was up $1.9 million. Driving this was our 50-50 joint venture with ASA Electronics. We posted a $1.9 million improvement year-over-year, and we report this as equity and income of equity investees. Interest and bank charges declined $300,000, which offset the $200,000 increase in other net. Moving on to the balance sheet and Onkyo. Balance sheet comparisons for the periods ended May 31, 2021, and February 28, 2021, the end of our fiscal ‘22 first quarter and fiscal ‘21 year-end, we had cash and cash equivalents of $36.7 million compared to $59.4 million. Total debt stood at $7 million compared to $7.1 million, all related to our Florida mortgages on the property. And long-term debt, net of debt issuance costs of $5.3 million versus $6 million. As for the Onkyo transaction, the joint venture between PAC and Sharp will incur a total purchase price of $30.8 million and includes the assumption of certain liabilities. In conjunction with the letter of intent we signed in April 29, 2021, we issued a $3 million secured promissory note to Onkyo, so they could continue to fund certain operations and support the business while we are in discussions. The $3 million is included within prepaid expenses and other current assets on our balance sheet. We amended the note on June 22 and provide an additional $2.250 million. The note bears interest at 4% and will be satisfied upon the completion of the transaction. As collateral, we received the security interest in certain Onkyo trademarks and assets. Of the total purchase price, our cash portion is expected to be approximately $26 million, and the total amount loaned and interest accrued will be deducted from the cash purchase upon closing. We expect we will need roughly $5 million to support the joint venture for the remainder of the fiscal year. This concludes my remarks. And operator, we are ready to open up the call for questions.
Operator:  We have a question from the line of Tom Forte with D.A. Davidson. Your line is open.
Tom Forte: Great. Thanks. So Pat and Mike, first off, congrats on the quarter. I had a handful of questions I wanted to walk through. I will go one at a time. So first off, Pat, as a long-time participant in the consumer electronics category, was hoping you could provide some historical context for the current challenging supply chain situation. For example, is it the most challenging it’s been in 10 years, 20 years, how should I think about it in a historical context?
Patrick Lavelle: Well, historically, I don’t think we have seen situations like this before. There have been part shortages, but COVID really has impacted so many different areas, whether it’s the chip – chip production – excuse me, chip production, raw material, container delays, shipment delays, port problems because of COVID. This has essentially caused us to really expand the lead times that we normally have for purchasing product and procuring product. We have almost doubled our lead times to ensure that we have products when we need it. Obviously, through the first quarter, these problems existed, but with a 90% increase in sales, it did not – it did not affect us. The problems continue. We are prepared to bring in products any way that we need to bring in. We have built up a big supply of products that are waiting to be shipped. And we are fortunate from the standpoint we have the cash on hand, we have the lines open to us to support the inventory purchases, which will be higher to make sure that any delays we have additional products in our warehouses so that we do not miss any sales. But when it comes to historical, I have been doing this for 40 plus years, I don’t believe I have seen anything as problematic as this. But as I said, I think we are handling it well.
Tom Forte: Excellent. That was very helpful. So the next question I had is, how should I think about it in this manner? Is it more challenging today in July than it was three months ago and six months ago? And what signs are you looking for improvement?
Patrick Lavelle: Well, I think we are – from the chip shortages and things like that, we had anticipated – we started to hear about the chip shortages. So, we were out purchasing and we have extended our long lead items, in some cases over a year. So, the chip shortages have not really affected us. The price increases will affect us as those higher-priced products get delivered to us, but that’s the reason why we instituted the price increases, to offset the raw material chip price increases. And then there is also some increase in containers and freight and bringing the products in, which we instituted a surcharge on. And we feel we are quite competitive with the rest of the market because everybody is facing the same thing. So, the prices are going up to offset it. Obviously, the holiday season is always a crunch. So, I think it’s going to be challenging, and that is the reason why we have gone out and led in orders so that, one, we would have product now. The goal is getting that product into the country, however which way we have to bring it in to secure sales.
Tom Forte: Great. Two more. So following our initiation of your stock, you had a lot of questions from investors on your automotive efforts and how you are able to land Amazon as a customer and the significance of what you are doing with Amazon as part of your product portfolio. Can you provide some additional details on that?
Patrick Lavelle: Well, obviously, when Amazon looked to enter into the automotive space, they looked around and they wanted to get their Fire TV into vehicles. And they looked around the companies that have the expertise in the field. And seeing as it had been a niche business and we were, by far, the #1 supplier of rear-seat entertainment in cars, both in the aftermarket and to the OEM manufacturer, they approached us. And when they saw the capability that we had, they felt very comfortable with moving ahead and essentially making us the only company in North America that they are working with to develop Amazon TV in the car. And with our involvement in OEM automotive for a number of years, we knew what to expect. And obviously, our successes, we have delivered to Stellantis. There was one other manufacturer that they chose to produce products for some European car manufacturers that are way behind where we are. So, I think we have performed very, very well, and I know that we have the confidence of Amazon to recommend VOXX to any and all other OEM manufacturers that are looking to add Fire TV to the car.
Tom Forte: Great. So thanks. Last one and final one, so Stellantis program looks really interesting to us, can you talk about at high level what it could mean for VOXX International?
Patrick Lavelle: I am sorry, which plan was this?
Tom Forte: Stellantis.
Patrick Lavelle: Stellantis. Yes, Stellantis is – it’s primarily starting with pretty much all the Jeeps and the Pacifica, okay. In the end of this month, they will be delivering their new Grand Wagoneer, which is their flagship vehicle, and that will contain our products with rear seat and Fire TV. Again, we have had relationships with these car manufacturers a number of years. We have worked with Chrysler for a number of years on remote car start. And again, when Amazon was recommending VOXX, Chrysler had the experience with VOXX over many, many years. And based on, again, our knowledge of the rear-seat space, what we had already achieved, which was way ahead of the market, they were comfortable in working with us. Financially, we are a stable company and that allows them to make the decision to move ahead with us. So, there are a lot of different factors that played into it, our experience, Amazon’s desire to work with us. They had met with our engineering team. They knew we had the capability and then we had the financial wherewithal to work with them. And they will roll out now the Jeep Wagoneer, the Jeep Cherokee, the Pacifica over a period of time. And that’s how it developed.
Tom Forte: Great. Thanks for taking my questions.
Patrick Lavelle: Okay. Tom, thank you.
Operator:  Sir, I am not showing any further questions in queue.
Patrick Lavelle: Okay. Thank you. I want to thank everyone for joining the call this morning. We are pretty excited about the prospects for the company as we look into the future, as we close the Onkyo deal, the Pioneer license agreement and as we start to shift Ford and Stellantis, the Amazon Fire TV, which we believe will generate additional business as it will be the most technologically advanced system on the market. And I think it will drive focus on to VOXX from other OEM suppliers. So guys, ladies, have a great day. Thank you for your interest.
Operator: Thank you. And this concludes today’s conference. Thank you for your participation and you may now disconnect.